Operator: Good morning, and welcome to the Gelion plc investor presentation. [Operator Instructions] The company may not be in a position to answer every question received during the meeting itself. However, the company can review all questions submitted today and publish responses where it's appropriate to do so. Before we begin, we'd like to submit the following poll. I'd now like to hand you over to John Wood, CEO. Good morning, sir.
John Wood: Good morning. Look, it's very -- to be able to take this opportunity to give you this update at this very important and exciting time for Gelion, your company. First of all, I would draw attention to our disclaimer here, our lawyers say hello. And look, companies are about people. That's where I wanted to start here. It's a little snapshot of some of the people only part of my leadership team here. But on my roadshows and my updates with Gelion, of course, today, we have our CFO, Amit Gupta with me, who is doing an absolutely outstanding job. Amit, thank you for your work. Also on the roadshows along the way, a lot of you have met Louis Adriaenssens and our CTO; Adrien Amigues, who's our President of Gelion in U.K. and Europe has been out to meet shareholders with me. And over on the far right corner, introducing Mr. Tracy Sizemore, who's our Senior Vice President of Global Partnerships. Now there's some little flags up in the top right corner. You'll notice that Tracy is saying hello from the U.S.A. We'll talk about that a little bit later on in the presentation. We're blessed with an extraordinary panel of technology advisers. Our very own founder, Professor Thomas Maschmeyer, regard as one of the top 15 chemists on the planet. The remarkable Professor Markus Antonietti, the Director of the Max Planck Institute of Colloids and Interfaces and Germany's most cited chemist and most cited material scientist. And most recently, Professor [indiscernible] to be able to invite Professor Rachid Yazami to join our advisory as well, famous across the battery industry, one of the pioneers of lithium-ion technology when Professor Rachid Yazami did his seminal work on the methods for intercalation of lithium into graphite. Again, we'll see where that fits into your company in perspective as we advance through this presentation. Okay. Who are we? And what are we doing? Look, Gelion, this sulfur battery company is targeting the cathodes market, which is projected to be $150 billion in 2032. And we're following a pathway followed in a way that we're going after that. This is a very big price, very important. We want to move quickly to establish leadership. So the way we're doing that is we're working very hard on global collaborations. Now there's a couple of our corporate collaborations, you can see at the top there with TDK and QinetiQ. We also are working very hard on technology collaborations. And so three that we're highlighting here is our partnership with The University of Sydney, Thomas Maschmeyer and work with Oxford in the U.K., and of course, the multiyear collaboration with the Max Planck Institute of Colloids and Interfaces. Underneath that, you can see government collaborations. A big callout for ARENA, absolutely in our corner. Thank you very much for the recent extension. The Advanced Propulsion Centre in the U.K. and The Faraday Institution, both of who have been supporters of this campaign. We are really very grateful to our government partners, our academic partners and our commercial partners. And of course, the other thing we're doing is we're building a strong patent network as we go. So we're building a strong core of technology. A little strategy update for you, a little talk about the market opportunity. Your company has three operating divisions. We are Gelion, the sulfur battery company. That is our primary business is where a lot of the excitement is about what we're doing right now. We also have an integrated solutions division and a recycling vision. Everybody in your company are hit their straps working really hard on performance. I'm going to start with our sulfur business. We have an ambitious goal. We want to establish sulfur cathode material, our sulfur cathode material as an alternative to the incumbent LFP and NMC technologies. That is a huge and important market opportunity. So that you can put it in perspective today, the market for cathode materials is about $44 billion. It's growing to $132 billion by 2032. And it is serviced principally by two chemistries, that's LFP and NMC. Your company, Gelion, is working to provide an alternative to those chemistries, and that's a sulfur cathode material. How are we doing that? Well, you can see on this picture, the picture on the left is actually our material. We call that Nano-Encapsulated Sulfur, NES. So, LFP, NMC NES. So that material and the way that we are approaching the introduction of that material globally is towards it becoming a drop in. So what you'll see in the picture in the middle, that actually is a sheet of cathode material, which is using our NES sulfur cathode powder. On the right, you see a sheet that looks somewhat like it, but that sheet on the right is either NMC or LFP. So you can see what the company is trying to do is to change one thing and to minimize variation in the production process. And basically, we're replacing expensive toxic critical minerals with simple sulfur. Now how do we go about doing that? Sulfur has always had the enormous potential to be an important battery chemistry in the cathode. And that is because it is the lightest material -- sorry, a very light material means that we can make very highly energy dense batteries, lots of energy for weight. And it had a few obstacles or a few things that were holding it back. Foremost amongst that was what's called polysulfide shuttle. And the Nano-Encapsulated Sulfur that we use eliminates polysulfide shuttle. Also, sulfur being held back by power characteristics. We support very high power. It's very low cost. We're supporting and testing against a very wide temperature range. The material intrinsically has low expansion and contraction characteristics. Now that's very important when you start to consider the cell types that you make from the material. It's important in liquid electrolyte cells but very, very important in solid electrolyte cells. And one thing very important about this technology is that it also retains a very high sulfur percentage. So it's actually the sulfur that's doing the energy storage. And so by maintaining that high sulfur percentage, that means that as well as having high power, wide temperature range, low cost, we've got very high energy density. I want to touch for a little bit just on the two other business units. So, firstly, our Integration division. Very proud of what the team is doing there. You can see on the right, the first of their systems that they've commissioned that was the group energy project operating very, very soundly. We've got a road show on that site is being shown in March 2026 as part of a major conference down in Australia. The team has built a substantial pipeline, which is between the identifying project and the proposal stage, but it is a long cycle -- a long sales cycle business. So we're not projecting revenue from this business in 2026. Instead, what we're working towards is maturing our pipeline and building that out in 2027. The Recycling group, and a call out to young Jacob and team who are building a battery, battery minerals. These guys are knocking it out of the park at the moment, doing an excellent job. What do we do with this? This is technology that we acquired from Johnson Matthey when we acquired the OXIS sulfur portfolio. So this team has established their U.K. testing facility in London. They've validated their technology at benchtop scale, and they're now scaling it to large volumes and validating the unit economics. This is an independent business building inside of Gelion and creating value in its own right. They have done a great job of coming up with their techno-commercial proposition. Basically, when you recycle lithium batteries, you end up with a black mass, this material called black mass, which is all of the materials that are in the battery also sort of mixed up. Now that's a hazardous material. There are shipping regulations coming in around what you can do with that material. What this team does is to extract from the material, the lithium. And by extracting the lithium, they also extract the fluorine at the same time. They result in an outcome that is more valuable to the shredder who's producing the black mass and they produce a material an alloy that is safe to ship. So, solid business model being developed by our team here and great work on the technology, watches space around what is happening with battery minerals. Okay. Status update for our businesses. We committed we would deliver our cathode active materials to our partners to commence the pouch cell manufacturing. And indeed, we have done that. Our Nano-Encapsulated, CAM, cathode active material is being supplied to TDK. And our Gen 3 has gone to QinetiQ, and that's being put into pouch cell prototypes at the moment. We expanded our advisory panel by adding Professor Yazami. We have said that we'll be expanding into the U.S. and there are very active discussions progressing there and in multiple global -- with multiple global partners around a range of applications and geographies right now. We said that we'd advance our innovation solutions pipeline and progress being made on that pipeline continuously, strengthen our balance sheet. Thank you very much to all the investors that joined us and those were existing investors that contributed into our round in November 2025, which strengthened our balance sheet and brought on some large institutional funds to join our journey. We are delivering on our technological commitments as well. So we said that we commenced our pouch cell prototyping with partners. Indeed, TDK has successfully manufactured the initial Nano-Encapsulated Sulfur pouch cells and the results are in line with our expectations. The Gen 3, first Gen 3 power cells be manufactured by QinetiQ and now we're transferring the capability to support the Nano-Encapsulated Sulfur between our Australian team and our U.K. team so that they can support QinetiQ to prototype using our Nano-Encapsulated Sulfur. We said we'd scale up our CAM in 2026. Thank you very much, ARENA, coming back and supporting us again. So we've extended the ARENA project budget from GBP 4.8 million up to GBP 5.3 million. Of course, that's shared funding and focused and extended our project scope to support what we're doing with our sulfur CAM fabrication. ARENA's support also has allowed us to bring online our ACPC and that will be leading to our ability to produce and prepare specification sheets for the material. We said that we would achieve our target aerial capacity, and we've achieved that milestone as well. So we're very pleased that our crew has managed to scale our materials from the original 1.5Q all the way to 4Q, 4Q being the critical milestone for -- that's the size or the density that we'll be using for our commercial high energy density sulfur cathodes. Continuing to file patents, including around the Nano-Encapsulated Sulfur. And we said that we'd validate the recycling technology at benchmark benchtop scale, and that has been achieved. So delivering on our commercial commitments and on our technological commitments. I'd like to pass to Amit now, who will update on the financial results.
Amit Gupta: Thank you, John. Apologies, everyone. I'm having technical issues, so I have to switch off my camera so I can be heard properly. [indiscernible] On this slide, let me start with where we are today [indiscernible]. I think the underlying message on this slide is all the core [indiscernible] are improving and continue to improve over the last few periods. You will [indiscernible] total income increased slightly modestly from GBP 0.4 million to GBP 0.5 million. This is [indiscernible] higher grant income from the ARMD4 program by APC in the U.K. and the ARENA grant [indiscernible] continue to decrease over the period. So in [indiscernible] our adjusted EBITDA loss was GBP 2.9 million, which has now decreased to GBP 2.4 million. This is a reflection of us trying our best to access non-dilutive grant as much as possible and continue to reduce our operating cost. [indiscernible] For grant [indiscernible] I emphasize how important grant income is. They're just not a means of getting nondilutive capital. They are approval, a stamp of approval [indiscernible] U.K. governments. When [indiscernible] these a lot of diligence that goes into it. And if you're successful, you get these grant income. So this is a technical stamp of approval from the Australian and the U.K. government saying what we are doing. There is a lot of confidence from [indiscernible] that we are on the right track. It also allows us to work with quality partners like... [Technical Difficulty]
John Wood: See, we have a problem with Amit's connection there. So, as you can see, continued strong stewardship of our financials. We're improving on pretty well every metric of operation of our business, even while we are scaling our business. In 2026, half 2, we will be starting to do a little bit more investment. So, in the 2025 period and then indeed the three years of my stewardship of the company as CEO, we have progressively controlled our expenses and continually delivered more from the company. We will be accelerating, just a little bit in some key areas and we're highlighting that on the screen here for you now. We are increasing our equipment CapEx a little in the period. There's a GBP 0.9 million of equipment that we're bringing in this equipment allows us to start to scale the production of our materials, and we need to be able to do that in order to get the materials out to all the customers or the collaboration partners and customers that we're starting to support. Good news is that 0.5 million of that comes from Gelion and GBP 0.4 million is being covered through our grant programs. In terms of our U.K. team, we are expanding our capabilities in the U.K. really grateful to Faraday and the APC up in the U.K. It's our intent to strengthen everything that we're doing in the U.K. and in Australia at the moment. And as we're doing that, what we're doing is also strengthening our presence into the U.S. So you'll hear a lot in the next period from us about what is happening in each one of those territories. I'm doing a lot of travel with our team at the moment. We are working very intensively, particularly in the U.K., in Australia, in Japan and in the U.S. All right. What I'd like to do now is to give you a view of what it is that we've done, why we've done it and where we are going next. So looking at our technology and collaboration progress. What are we doing? Shamelessly, we are aiming to secure leadership globally in sulfur technology at the very time that it is most important. We are catalyzing sulfur, both as a specialist battery cathode material and as a general battery cathode material. We're doing that by a capital-light model, and we have been very successful in implementing that as a capital-light model by way of collaborations across the entire supply chain. We're working very hard on genuine product market fit and reducing our time to market. So you saw us very active in that in 2025. You saw the cell technology and manufacturing arrangements we put in place with TDK and with QinetiQ. You saw us put in place the technology arrangements with Max Plank Institute, with Oxford. And previous to that, you saw us do the acquisitions of the Johnson Matthey, OXIS Technology and the OXLiD entity. This is a company that is moving quickly and effectively. So, 2025, big effort on technology and cell leadership. That gave us product parts. So we have one material and that material we are taking on four distinct product paths. The first of those is where we take our Gelion cathode active material, our NES, and we combine it with lithium metal and liquid electrolytes that's the cell down on the bottom left. We then also are developing it with solid state. You know about the relationship that we have in the U.K. with Oxford around solid-state material and also the great support that we have had from APC and with our collaboration up in Nottingham around solid state. In the middle, we have the graphitic CAM based -- the graphitic anode-based cell. Now this is an important -- this is an area of particular importance for us because as we develop this, this is where we become fully dropping. Why Professor Yazami? Professor Yazami's work is right there. He is a master of the art of intercalation into -- of lithium into a graphitic anode. On the right, what you have is a room temperature sodium sulfur cell. So, this cell is sodium, carbon and sulfur. Looking across the four of them, all four cell targets come from material. The two on the right include supplementary processes, which is called methylation, lithiation or sodiation. But our work in 2025 was about technology and getting to these product targets. So each one of these cells, we are prototyping in our laboratories even as we prepare to scale our materials. So let's look at where we go from here. 2026. 2026 is about make and market. And again, in addressing that, the way we are approaching it is through collaboration. So we're investing in leadership in the middle here in this sulfur technology cell manufacture area. But now my focus on collaboration activity and on customer activity is in the process development and the application stage. This is up the top here and down the bottom. How do you make and scale the material? How do you -- who uses the material? How do they apply it? What are the applications that they apply to? If you look at that application line, you'll see that we're aiming for electric vehicles. We're aiming for defense, we're aiming for transportation in all forms. We're aiming over on the right for BESS, in battery energy storage as well. Process engineering, and this is what you are seeing. One material, the core material, the Nano-Encapsulated Sulfur, we're working to put in place process engineering collaborations for the general material. That general material then flows all the way down to the lithium metal anode products on the left. And then you can see the lithiation. Again, here, we're looking at collaboration, again to put us on a fast path into the lithium-ion battery drop-in approach. Over on the right, the sodiation and the room temperature sodium sulfur. We're still doing some laboratory work at the process engineering level. So we'll do that work before we start to put in place process collaboration. So this is a company committed to leadership and committed to maximizing collaboration as we go. Collaborations at the application level. So, at the application level, this is where we're working with the people who use the batteries to make the equipment that uses the batteries. And I'm highlighting three areas that we're focused on at the moment. First one over here is drones and robotics. So, obviously, if you've got a very light battery technology, drones and robotics are an important area. If you're looking at the middle, that's now electric vehicles. And over on the right, what I'm highlighting here is that we're starting to work beyond the cell because we have to work on the pack and the product applications as well. So Gelion is out there at the moment working with -- working on collaborations across process equipment and process engineering and on these applications as well. We're very busy on it. And combining the two things that I've told you, the areas that we're working in, we're working in Australia, the U.K., U.S.A. and Japan. And we are currently, of course, working across collaborations and sulfur technology, cell development and manufacture, process development and applications. Now for all of you who have been existing investors tracking Gelion as we've come along, you know that up in the last few years, we've been moving very quickly. We've been effective in executing our collaborations and moving forward. This is a very exciting time for Gelion. I've got a wonderful team. We have that team fully deployed, working really hard, and I have never been as busy working with that team across these collaborations to get this in place, a company that is determined to deliver leadership. So we're focused on structures that leverage our competitors -- sorry, our competitors, our partners' strength to out with our competitors and using what is being done today rather than reinventing the wheel and prioritizing our applications around those where we bring the greatest value. So, what are some of the upcoming catalysts for you to look at? Well, we'll be advancing our commercial readiness. The focus at TDK, I cannot say enough about the quality of the people that we work with there. That is an extraordinary, extraordinary company. So our team is working closely with their team in Nagano to advance all of our work delivering progress together. Thank you to the QinetiQ team and all the work that's going on in the U.K. towards being able to produce our products up here in the U.K. We're going to derisk through the preparation of our commercial pouch cells. So that development is going on at the moment. Our team working with QinetiQ and TDK and others towards real-world testing with our partners on the pouch cell technology. We're going to expand our strategic partnerships. So we've got very good progress, new collaboration agreements that we're working on with potential partners in the U.S., Europe and Asia. And we're continuing to focus on our capital discipline so we're keeping everything tight. I did mention we're going to do a little bit more investment in the areas of highest returns, and we set out what we're going to be spending on there and how much we're going to be spending. This is in the highest areas of return for us, U.S. expansion and commercialization pathways. And we're going to maximize nondilutive government funding. We consider the governments who are backing us as our partners, and we steward everything that they give us as carefully as we steward all of the investors' funds that we are entrusted with. So the most exciting time for Gelion and a huge call out to my team and my Board who are supporting us with quality every day. I'd like to proceed to questions now.
Operator: That's great. Thanks very much for your presentation. [Operator Instructions] Just while the company take few moments to review those questions submitted today, I'd like to remind you that recording of this presentation along with a copy of the slides and the published Q&A can be accessed via your investor dashboard.
Operator: As you can see, we have received a number of questions throughout today's presentation. Can I please ask you to read out the questions and give responses where appropriate to do so, and I'll pick up from you at the end.
John Wood: Okay. Thank you very much. Look, the first question here, I'll try to get -- try to get through all the questions, so I'll try to do that today. As TDK moves towards qualification, which durability metric are you most focused on derisking in aging tests? That is a great question. Batteries are like a Rubik's Cube, you must have every aspect of the technology right. So energy density, of course, we're working on maintaining energy density and so always working on getting the sulfur percentage up. We're working on power, great support from Max Plank Institute on working on power, particularly getting our voltage histories down, getting our impedance lower. We're working on wide temperature range. So making sure that these cells are suitable to be used in the extreme conditions that we anticipate they will be using. We're working on, of course, ensuring safety, which is almost in everything that we do. At what stage of commercialization would a dual or U.S. listing make strategic sense for Gelion, if at all? That's a really interesting question. Look, we're working hard to get presence in the U.S. at the moment. So U.S. is an important market. It's also a place where there's a lot of dynamism in battery tech at the moment. In terms of the U.S. listing, look, we're pretty happy with our AIM listing. People keep saying things like we'd be on a higher multiple -- might be on a higher multiple if we're on the U.S. and things like that. Our focus at the moment is on delivering leadership in what we're doing, delivering the major collaborations. I think that as we do that, if this difference in valuation exists between the U.S. and availability of capital in the U.K. is there. I think that it's just going to correct itself because I think a good company is recognized where it is. There might come a time when it's right for us to look at the U.S. but I sort of have a really treasure the investors we got in the U.K. and all the support that we're getting. So I'd like to make the company successful and see where we go there. What is the status of your solid-state separator? And do you think you will be able to integrate it into your semi solid-state battery anytime soon? We are working really hard on that at the moment. So the status is the team up at Nottingham that join Europe team are working with the solid-state separator. We are what is called densifying it at the moment. So densifying it means that that's a technique to resist dendrites and things like that. It's an area that is good and strong. And then yes, we'll integrate it. We're looking both at semi solid state, and we're looking at solid state as well. Do you anticipate having enough time to be able to develop and demonstrate a lithium sulfur battery with good performance characteristics in time for the Cenex Expo this September? We are working towards that. So that is our goal. We retain that goal. We've progressed -- we've made cells with Gen 3. The material has been shifted from Australia into the U.K. So, the U.K. is working to progress that, and then they'll take that material to QinetiQ. So that's our goal, and we're still working to that target today. Is the Ionblox JDA still active? And if so, can you report back on progress and potential commercial partnerships? So Ionblox hit a wall. And that was an unfortunate thing with -- they had a customer, a large customer that hit its own wall, and that put a lot of pressure on Ionblox. Now the work that we were doing with Ionblox is still active. Now this is an area, I have to be a little careful -- I'm sorry, I try to answer every question as completely as I can. It's an area I've got to be a little careful because it is an area that we are very active on and developing at the moment. And I don't want to signal too much about what's happening there. So, yes, all that work is current, albeit it won't be via Ionblox because of the challenges that happened with Ionblox. I like that NES has been trademarked. Can you expand more marketing on the technology and how it can be featured in industry publications? Hell, yes. Absolutely. NES was trademark for a reason. We want to see NES up alongside LFP and NMC. And call out to Jeneane, our marketing person who's backed us by getting this presentation together and doing so much other stuff, doing a wonderful job and starting to get more presence for the company. So we will be working at that goal. Can you outline exactly what areas of development Dr. Yazami will be advising on? Well, Dr. Yazami, he's amazing. I love our conversations and the opportunity I have to talk with him. There are two areas of particular expertise at Dr. Yazami. First of those is the methods of intercalation of lithium into graphitic anode. So earlier in the presentation, I talked about one of our goals being utilization of our sulfur cathode material with graphitic anodes, whether that's a full graphitic anode or it's an anode, graphitic anode that also has silicon. He's a master in that area. Another area that Dr. Yazami is a master in is battery management. So he's held for many years leadership in the area of fast charge, fast chargers stay ahead of lithium-ion cells. So he brings those skills. Singing out a little -- something I'll say about Professor Maschmeyer about Professor Markus Antonietti and Dr. Yazami, none of them are too proud to get their hands dirty and actually work directly with our team. They all get in and dig in. And from the early reactions with Professor Yazami, I would call out just how effective he was working with our team members inside of Gelion. What yield are you getting from your product line? So, in producing our material, we have our inputs. They go into our reactor and we make the Nano-Encapsulated Sulfur. That's our prototype process at the moment. That process is effective, albeit there are areas that we want to improve in yield where we utilize -- where we'll be utilizing more of the components to make the finished product. And indeed, that's one of the areas that we will be working on in collaboration with best practice process engineering companies. So, I think, the answer that you're probably looking for there is that our process is practical and that with appropriate process engineering, I think we'll be, at the end of the day, getting very high yield from the materials being put in to the end product coming up. How similar are the developments in lithium sulfide to Gelion's lithium sulfur? And is this a good sign? Is there any change or development in the overall plan outlined in the last fundraise document that you can cover? Or is it simply on track? At the moment, we are simply on track. So we just following the plan that we told people we would be following, and we're delivering on that plan. Now there's sort of two questions in this one. The first part of the question was how similar developments in lithium sulfide and Gelion's lithium sulfur. Lithium sulfide is a solid-state electrolyte material. And in fact, the materials that we are using in our solid-state work are sulfide materials. So, I guess, I would answer the question by saying it's good time. In John's comments about the half results, he mentioned Gelion has the potential to achieve Tier 1 status. Yes. Can you explain what this means and maybe give an example of a Tier 1 company? There are a number of leaders in our battery industry. I guess if you want me to just call a quick -- one that comes to mind quickly would be Amprius in the U.S., which is a company that does silicon anode-based technologies, but there's a number of Tier 1 companies. Tier 1 companies are companies that are respected as a leader in what they do. They typically have a very high valuation and they're regarded as Tier 1s because they're working in an area where people can see that, that area that they have leadership is going to intersect the industry and be something that makes cars work better than other cars or makes drones fly further than other drones. So it's always the end use that's important. And then those companies manage to position themselves as the renowned tech leader in that technology. So when I say that we have the potential to achieve Tier 1 status, you can see, I hope from the presentation we gave today that we are aggressively going after leadership in sulfur cathode technology. That's what my team live and breathe every day. The inspiration that I get as a CEO of this company is just going either to the Australian team or the U.K. team and getting them to do their presentations on what they've achieved in the last week or two weeks or month. It's all about being leaders in sulfur technology and having that technology meet the requirements of the market and beating our competitors. So when we achieve that leadership, that's when you -- a Tier 1 when you have that leadership and you have made the linkage to the applications and the application providers are starting to collaborate with you -- sorry, the application companies, the car companies and the training companies are starting to work with you. So look for development from July in that space. Can you tell me anything about the calendar life of the sulfur battery? Great question. Okay. I told you that we have we master polysulfide shuttle. Polysulfide shuttle is the thing that would normally affect shelf life or degradation. In terms of calendar life, we do need to do calendar life testing on the cathode, but we're quite confident about the calendar life of the cathode. In the presentation, I showed you the four different types of batteries. Each one of those batteries has a different sort of anode. So you've got lithium metal anodes, you've got graphitic anodes and you've got liquid electrolytes, you've got solid electrolytes and you've got the room temperature sodium sulfur. So, the whole battery, the calendar life is a function of the whole battery, the anode, the electrolyte and our cathode. The good news is that we believe that our sulfur cathode will be -- I can't give you absolutes, but I believe that the sulfur cathode will not be the limiting factor in the life of the cell. When do you expect revenue from your recycling business? The recycling business is currently moving from lab scale with a goal to go up to pilot scale. As they go from pilot scale -- as they go up to pilot scale and above, then they would be getting revenue. I'd rather not be specific about that, but watch is based on battery minerals, the group is doing particularly well. What competitors do you have in your selected business areas? Are they a threat to the success of Gelion? We're a battery company. We're a battery technology company that is high risk, high reward, straight up. And we have competitors. There are other sulfur battery companies out there. There are companies that are trying to eat our lunch with alternative technologies. We are bloody good. We are a good company. I have a great team. We have an enormous -- we have a great technology and a great opportunity. So, all I can say is that, yes, there are competitors, but I'd rather be with team Gelion in the market, looking across everything that I know in the market today. What capacity will a standard 40-foot sea container have and how many cycles is it designed for? So, I said there are four battery types, lithium metal anode graphitic anode liquid electrolyte, solar electrolyte and room temperature sodium sulfur. Really on this one, you're looking forward to probably the graphitic or the room temperature sodium sulfur. It's a very difficult question for me to answer quantitatively because there are several different answers to it. Some of our cells are designed for short cycle life where we're doing extremely light cells for particular purposes. Others of our cells are designed for long cycle life. I think I need to keep that question there for a little bit further down the track but our cathode material can be applied to the full range of applications from the light cells for drones through automotive through into battery energy storage. And that is the questions, I believe, that I have for today.
Operator: That's great. Thank you for covering all the questions you have from investors. And of course, the company can review all questions submitted today, and we'll publish those responses on the Investor Meet Company platform. Just before redirecting investors to provide you their feedback, which I know is particularly important to the company, John, can I please just ask you for a few closing comments?
John Wood: Sure. Look, thank you all for listening. It's been a long presentation. It's about positioning. It's about execution, it's about team. And I hope that through the course of this presentation, you've got a feeling for the openness of the company. We do these periodically. We're always prepared to come back, answer the questions, refer to everything we've done before. For me personally, this is the most exciting time for July, and this is where the rubber hits the road for the business. And I'm really grateful to everybody out there that is supporting me and our team to get after this exciting opportunity. So, thank you.
Operator: That's great. Thanks for updating investors today. Can I please ask investors not to close the session as you'll now be automatically redirected to provide your feedback in order that the management team can better understand your views and expectations. This may take a few moments to complete, and I'm sure will be greatly valued by the company. On behalf of the management team of Gelion plc, we'd like to thank you for attending today's presentation, and good morning to you all.